Operator: Good afternoon, and welcome to the Superior Group of Companies' Fourth Quarter 2025 Conference Call. With us today are Michael Benstock, Chief Executive Officer; and Mike Koempel, President and Chief Financial Officer. As a reminder, this conference call is being recorded. This call may contain forward-looking statements regarding the company's plans, initiatives and strategies and the anticipated financial performance of the company, including, but not limited to, sales and profitability. Such statements are based upon management's current expectations, projections, estimates and assumptions. Words such as expect, believe, anticipate, think, outlook, hope and variations of such words and similar expressions identify such forward-looking statements. Forward-looking statements involve known and unknown risks and uncertainties that may cause future results to differ materially from those suggested by the forward-looking statements. Such risks and uncertainties are further disclosed in the company's periodic filings with the Securities and Exchange Commission, including, but not limited to, the company's most recent annual report on Form 10-K and the quarterly reports on Form 10-Q. Shareholders, potential investors and other readers are urged to consider these factors carefully in evaluating the forward-looking statements made herein and are cautioned not to place undue reliance on such forward-looking statements. The company does not undertake to update the forward-looking statements, except as required by law. And now I'll turn the call over to Michael Benstock.
Michael Benstock: Thank you, operator, and thanks, everyone, for joining our call. I'll begin with an overview of our fourth quarter results, followed by a discussion around market conditions. I'll also cover at a higher level how each of our business segments is performing along with some of our go-forward strategies. Mike will then walk us through a more detailed financial review before we open it up for Q&A, for which we'll be joined by Jake Himelstein, President of our Branded Products business. For the fourth quarter, solid growth in our Branded Products segment helped drive SGC to an overall modest year-over-year increase in revenues, while we also lowered expenses despite this growth. As a result, we generated 19% higher EBITDA than the year ago quarter, and our EPS nearly doubled to $0.23. In addition, as expected, fourth quarter results reflected the back-end weighted nature of our business with revenues up 6% sequentially and diluted earnings per share up more than 28%. Our outlook for SGC for 2026 that Mike will share in a moment reflects solid growth expectations for the year, again, with a back-end weighted cadence due to expected order patterns and anticipated new customer growth in our Contact Centers segment. Turning to market conditions. There remained a degree of economic uncertainty amongst customers and prospects across all of our business lines. Nevertheless, we were able to grow consolidated revenues during the fourth quarter. Again, the progress we've made in driving efficiencies and containing costs, as you see from our bottom-line performance reported today, should prove beneficial once macro conditions normalize and stronger demand returns. Taking a step back, our overarching strategy is to emerge stronger from these currently uncertain economic and geopolitical times, with even greater market share as we have through past complex macro cycles. Our leadership team will accomplish this by continuing to strategically invest in growth while at the same time driving efficiencies and removing unneeded costs from the business. Moving on to our business segments. Branded Products, our largest segment, had 5% year-over-year growth during the quarter or a 14% sequential increase despite the challenging tariff environment's impact on customer order patterns throughout the year. Our pipeline and order backlog remains solid and have already generated some large new wins this year. Looking ahead, we'll be focused on growing our market share further in this attractive, highly fragmented market. Specifically, we anticipate further expanding our sales force as well as leveraging technology to make new and existing reps even more efficient. Turning to Healthcare Apparel. Revenue was off 5% year-over-year in the fourth quarter, which reflects macro uncertainty for both our wholesale-related consumer channels and institutional healthcare apparel. Similar to Branded Products, we're investing to grow demand, in this case, to support our Fashion Seal, Wink and Carhartt brands, while at the same time keeping a watchful eye on expenses. In fact, versus the year ago quarter, despite continued marketing investments, we were able to drive a slight decline in SG&A, resulting in a positive outcome for EBITDA. Going forward, we see opportunities to grow our digital and brick-and-mortar wholesale channels as well as our own direct-to-consumer channel, which continues to have momentum. Our third business segment, Contact Centers represents 15% of consolidated revenues and saw an 8% annual decline in the top line driven by the downsizing and loss of existing customers from earlier in the year that have not yet been outweighed by new customer growth. Prospective customers have been slow to commit given the economic uncertainties, but our pipeline remains solid even after producing customer wins early this year and should translate into further growth, particularly in the back half of 2026. In addition, we're again controlling what we can. We reduced SG&A for Contact Centers by nearly $1 million or 10% versus the prior year quarter, driven by streamlining our cost structure, including the strategic use of AI. In closing, we're cautiously optimistic about the year ahead, and our strong balance sheet that Mike will discuss allows us to intelligently navigate current market conditions, while positioning SGC for long-term success. We also brought back a significant number of shares during the quarter, reflecting our belief that our stock has a compelling long-term value. Mike will now take us through a more detailed review of fourth quarter results, then we'll open it up for Q&A with Mike, Jake and myself. Mike?
Michael Koempel: Thank you, Michael, and thank you again, everyone, for joining today's call. During the fourth quarter, we generated consolidated revenue of $147 million, which was up 1% year-over-year and up 6% sequentially from the third quarter, demonstrating the back-end weighted cadence of our revenue as expected. Our largest segment, Branded Products grew revenue 5% over the prior year quarter to $97 million, primarily driven by revenue growth from the 3Point acquisition in December 2024, followed by modest organic growth. Sequentially, Branded Products grew quarterly sales by more than $10 million, fulfilling our back-end weighted expectations. Healthcare Apparel is our next largest segment, which produced revenue of $29 million relative to $30 million a year earlier as the macro uncertainty for wholesale-related consumer and institutional healthcare apparel channels that Michael mentioned continue to weigh on growth. Rounding out our segments, revenue for Contact Centers was $22 million as compared to $24 million in the prior year period as customer losses and reductions with existing customers exceeded gains from new customers, although, we have started 2026 with early momentum driven by a few conversions of our pipeline opportunities, as Michael mentioned. We are cautiously optimistic that additional new opportunities will provide meaningful benefit starting in the latter part of the second quarter and drive year-over-year growth in the back half of the year. Looking at the bigger picture, continued tariff and economic uncertainty notwithstanding, our business pipelines across all our business segments remain solid to end the year. And as mentioned, we have yielded some important new wins in early 2026 thanks to our attractive competitive positioning and the investments that we've made in sales talent and marketing strategies. Assuming macro conditions continue to normalize with some improvement in economic uncertainty ahead, we expect sales growth for all 3 segments in 2026, as I'll speak to in a moment. Moving down the income statement. Our consolidated fourth quarter gross margin of 36.9% was nearly flat with the prior year quarter's 37.1%. On a more granular basis, our Branded Products gross margin came in at 34.4%, up 50 basis points versus the prior year despite higher tariffs. Our Healthcare Apparel gross margin of 33.6% was nearly flat, off just 10 basis points. And for Contact Centers, gross margin was down about 2 percentage points to 52.6% due to higher agent costs and a shift in our revenue mix associated with the July closure of our lower-cost Jamaica center, which was more than offset by SG&A reductions. Overall, SGC made good progress reducing SG&A compared to the year ago quarter by about $1.4 million despite overall positive revenue growth. As a result, SG&A as a percent of sales came in at 33.2% for the fourth quarter, an improvement relative to 34.4% a year earlier. In fact, we were able to reduce SG&A across all 3 business segments. Putting it all together, our fourth quarter EBITDA of $8.6 million was up from $7.3 million in the year earlier period, with our EBITDA margin improving by 90 basis points to 5.9%. Turning to net interest expense. It was $1.3 million for the quarter, an improvement relative to $1.5 million in the fourth quarter of 2024, benefiting from a lower weighted average interest rate. Lastly, our fourth quarter net income of $3.5 million was up from $2.1 million in the prior year period, and this equated to $0.23 of diluted EPS, up from $0.13 in the year ago period. Shifting gears, our balance sheet remains solid with $24 million of cash and cash equivalents at year-end, which was up $5 million versus the start of the year. We generated $20 million in positive operating cash flow during the year, and we remain well within covenant compliance. Our total liquidity, including cash and availability under our revolving credit facility is over $100 million, allowing for the continued execution of our growth initiatives, while also returning significant capital to shareholders. In fact, during the fourth quarter, we paid out $2 million in dividends and another $2 million to repurchase our shares, which we consider a compelling value. We ended the year with approximately $10 million still available under our share repurchase authorization. Turning to our outlook for 2026. We're setting an initial full year revenue range of $572 million to $585 million, which assumes no significant change in macro conditions due to geopolitical or other events and implies 3% growth at the high end. Taking these factors into consideration, we are also expecting full year earnings per diluted share to be in the range of $0.54 to $0.66, suggesting significant improvement over $0.46 in 2025. Consistent with prior year, we expect a back-end weighted cadence to 2026 for both the top and bottom lines. We feel confident in our outlook given our recent momentum, competitive advantages, growing pipelines of new business and the attractive nature of the end markets we serve. And now, operator, if you could please open the lines, Michael, Jake and I will be happy to take questions.
Operator: [Operator Instructions] And the first question will come from Michael Kupinski with NOBLE Capital Markets.
Michael Kupinski: Congratulations on your quarter. A couple of questions. I know that you've been investing in your Wink and Carhartt brands for some time. And I was wondering if there are some green shoots on how those investments have been paying off. And so I was wondering if you can give us an update there. And in addition, can you give us an update on the market environment for the Healthcare Apparel sector overall, both from the standpoint of the direct-to-consumer side and also from the institutional uniform side of the business?
Michael Koempel: Michael, this is Mike. I'll take your questions. What we're seeing on our Branded Healthcare Apparel, the Wink brand and then obviously, the license we have with Carhartt is still overall positive. I mean, we're continuing to see growth of those brands in our direct-to-consumer channel. I know at this point, we have not disclosed specifics on that. And at some point, we will down the road as it continues to get bigger. But we continue to see significant growth, again, in both of those product lines, again, largely within direct-to-consumer, but then also with our wholesale-based customers as well. We had a little bit of softness in Q4 with a couple of customers, which is why you saw the comp in Healthcare Apparel down in Q4, but we're seeing more positive momentum with those brands and in the retail environment as we started off for 2026, which is why, as I mentioned in my prepared remarks, our expectation is growth overall in the Healthcare Apparel segment.
Michael Kupinski: Great for the color. And then on the Contact Centers side, it appears that the revenue stabilized in the quarter. And I know that you indicated that the pipeline has improved. Is there -- are we still seeing some macro-driven hesitancy there? I was just wondering are we starting to see some of that abate in the first quarter? Can you just kind of give us some sense of how new business is -- the environment is kind of improving there? I know that you're saying that it looks like it's back half weighted there as well, but I was just wondering if you can give us a sense of how the pipeline is improving for that segment.
Michael Benstock: Mike, it's Michael Benstock. I'm going to jump in and say something then I'm going to turn it over to Mike, who I think will have a more direct answer. But overall, in all of our businesses, we're still seeing this whole pattern of customers' decisions, ordering, deal closing velocity, just to us seems constrained. I sat in a meeting with other CEOs yesterday, a large group of CEOs, and that was the consensus. Everybody is feeling the same constraints. And the constraints are coming from the geopolitical climate, obviously, and the economic uncertainty. And had I said that a week ago, you would have said, well, it's getting better. But in the last week, a lot has happened to probably elevate that uncertainty for even a longer period of time. I think customers are waiting for clear market signals before making decisions. Now having said that, we're seeing some very positive signs on the Contact Centers business. I'll let Mike get into that a little bit.
Michael Koempel: Sure. I would say, Mike, the best way to put it is we're cautiously optimistic. I mean, we certainly don't want to get ahead of ourselves, but I think that we -- as you know, from following us quarter-to-quarter in 2025, there was a significant amount of hesitancy and we weren't seeing that pace of new customer growth that we had seen historically yet, again, as we spoke about in multiple quarters, had a really strong pipeline. So we're encouraged by some of the movement we've seen here at the beginning of the year on the new customer front. We're feeling also, at the same time, right now positive about the status of our existing customer base. Again, you might recall last year, we did have some challenges with respect to bankruptcy, some bankruptcy customers in the Contact Centers space. Again, as of this point, we don't see that type of risk. So we're cautiously optimistic. And as I mentioned in my prepared remarks, we would expect to see some growth in the latter part of Q2, which would then bode well for us to drive a stronger growth in the back half of the year.
Michael Kupinski: Got you. One last question. On the Branded Products side, you mentioned about expanding the sales force. And I was wondering, we saw some nice growth in this quarter. I was wondering in terms of the increase in revenue that we saw in the quarter, was that a result of the expanded sales force? Or were there other things at play in the revenue growth that we saw in the quarter?
Jake Himelstein: Michael, this is Jake Himelstein. To answer that question, it's a variety of factors. It certainly is part of our recruiting efforts to bring in additional salespeople. We've talked about it before, but we're a very desirable landing spot for salespeople in our industry. There's 100,000 people that sell products -- Branded Products across the country, and we are a very desirable landing spot because of the breadth of capabilities we have. But it was also because of some really good underlying fundamentals. We had great program wins, really strong orders. Our Q4 does tend to be traditionally a very strong quarter in the Branded Products segment because of employee holiday gifts, and this year was no exception.
Operator: The next question will come from Jim Sidoti with Sidoti & Co.
James Sidoti: I think the most impressive part of the quarter was you were able to basically double your EPS on flat revenue. So it shows you have done a pretty good job adapting to the current business environment. But looking ahead, you expect to grow revenue maybe about 2% or so next year, and you're looking for some pretty healthy EPS growth. Where do you expect the margin expansion to come from on the gross margin or on the SG&A line? Or can you give us a sense?
Michael Koempel: Jim, this is Mike. I'll take the question. We'd expect it to see it in 3 areas. We do expect some gross margin improvement. We expect to see some of that improvement really in each of the business segments. So I think gross margin expansion will drive some level of improvement. A little bit of improvement on the SG&A line. I think that, obviously, there are some variables at play there depending upon the level of revenue that we drive and the investments we might need to make in marketing as well as in some human capital. But then I'd say, the third piece is we are expecting lower interest expense as well. We expect to drive, again, some continued improvement in working capital. We know that we can bring inventories down, which we've demonstrated in the past can drive a lot of cash flow. So we're expecting to get a benefit out of lower debt outstanding as well as interest rates versus 2025.
James Sidoti: I did notice your accounts receivable ticked up in the fourth quarter. Has that already started to come down? And do you think that will come back to historical levels in Q1 and Q2?
Michael Koempel: Yes, there's nothing unusual there, Jim. It's really just the timing of sales. I mean, December was a really strong month for us. And so it's really just the timing of orders year-over-year. And so we'll collect those receivables within our normal pattern and will be cash flow positive for us here in the first half of the year.
James Sidoti: And can you comment on what the acquisition environment looks like? Or are there more targets out there than there were 12 months ago or less? Or is it pretty much the same?
Michael Benstock: It's a deck a day. It's quite a robust field out there. And Jake, in particular, is fielding a lot of these. Most of them, quite frankly, we have no interest in. They're either too small or they're too broken, and they have no great value to us. But we are always looking. And we -- I can't say we're in really serious discussions right now with anybody on that side or -- and the same thing is true on The Office Gurus' side. We have companies that we like. We have companies that we're talking to. We have companies we're digging into a little bit. And particularly, as we said, with The Office Gurus in the Philippines, we do want a presence there, and we have been looking for a path for that. Absent finding that path, we will open up our own center in the Philippines, but we feel like we can do it faster and cheaper by purchasing another company. But it's a very robust market out there. I think everybody is worried. It's not only the macro environment. It's people worrying about how AI is going to impact their business because they've invested nothing in it. And they see us as a way, a path forward because they know we have and feel like we'll be one of the last men standing in this race in all of our businesses. So it's a good time. It's definitely a buyer's market at this point.
James Sidoti: All right. And then last one from me. CapEx has been around $4 million or $5 million the past couple of years. Do you anticipate any big expenditures this year? Do you have to make any big investments? Or do you think that's kind of a good run rate for 2026?
Michael Koempel: We're not -- Jim, we're not expecting any major departure from what we've been running. We're planning for something in '26 that's a little bit higher. But again, there's nothing that I would call at this point that's individually significant in nature. I think that we made a big investment a few years ago, which we're able to leverage. And so again, not expecting anything significant next year.
Operator: The next question will come from Keegan Cox with D.A. Davidson.
Keegan Tierney Cox: I just wanted to ask, you kind of talked about the AI piece of the business, especially helping improve sales and then in your Contact Centers business. So I guess, what kind of AI tools are you guys currently using across the platform?
Michael Benstock: We're using many tools, some we wouldn't disclose on this call. We don't necessarily need all of our competition knowing what tools we're using. Some of them are proprietary. But essentially, we're monitoring just about every call that we're taking, which are hundreds of thousands of calls a week, and we're able to score them immediately. We're able to coach the agents on the spot as the call is progressing. We're able to set up all kinds of coaching opportunities afterwards. We're doing accent smoothing. We're doing noise cancellation. I mean we're doing a lot, but some of which I really would prefer not to disclose. I mean, obviously, when we get into customer presentations or prospect presentations, we do disclose it because that's what helps us win the business. But I can tell you, we are not behind the curve at all when it comes to AI and call centers. Most people are talking a good game about what they should do and are having a terrible time trying to implement their -- the different solutions that they found. We, in fact, have become the implementation partner for a couple of AI companies to help them implement it in other places that are not competitors of ours. And that -- and only because we've done it so many times. You can imagine that when we implement an AI solution or a group of AI solutions to our centers, we're doing to 20, 30, 40 customers, and every one of those is unique. Remember, they're all operating on different technologies. They bring their own technology to our center. So our implementation has to integrate with their technologies, and we've been able to do dozens of these. So they see us as a great path to creating a better implementation, which is what most people are struggling with right now.
Keegan Tierney Cox: And then a follow-up. I just wanted to talk a little bit about the margin improvement in Branded Products. As I look, it's almost 250 basis points, 300 basis point improvement sequentially, better gross margins on a full year basis than in 2023 despite tariff pressure. I was just kind of wondering if you could parse out how much of the margin improvement you guys are seeing is on pricing versus cost reduction?
Jake Himelstein: It's both, right? I don't think you can really split it out between the 2. And it really does come from both. We are aggressively going out and searching for not just the lowest cost, but the best vendors globally. So when the tariff environment changes in one region or another, we'll move production between regions, and we do that better than just about anyone out there on the Branded Products side. So Keegan, we definitely see it as it relates to the cost side, but we're also really purposeful about exploring price ceiling and making sure that we're selling at the highest price we can. And not all business is good business. And the clients that work best for us, the ones that see the value in what we're able to do and ones that appreciate what we do. And so we're not in a race to the bottom. And that's not our business model on the Branded Products side. But yes, it really does come down to both things you said. It's making sure that we're selling at a fair but the highest price that we can offer and then also negotiating the best possible cost globally with our supplier network.
Keegan Tierney Cox: Got it. And then the last question is on, if you guys are expecting any margin impact from investing in salespeople in the Branded Products segment. I guess, how do you balance adding salespeople with ongoing cost saving SG&A reductions?
Jake Himelstein: Yes. So Keegan, the best way to think about it is there's 2 types of salespeople that we look at. Some are commission only, which means that they only get paid if they sell, and there are some that are salaried. And as we bring on people with salaries, which we have done and will continue to do, there is an investment period. And that investment ramp up can be a year to 18 months until they're actually seeing revenue come in the door. We are constantly bringing on new salespeople, both commission only and salaried to build that base of salespeople, right? The more people we have out there selling our product, the more opportunities we have with large enterprise opportunities. So you hit the nail on the head. We are actively investing in new salespeople and sales management to be able to grow our future sales. And again, that doesn't pay off today. It pays off 12 to 18 months from now.
Operator: The next question will come from David Marsh with Singular Research.
David Marsh: Congratulations on the quarter. It's really, really good print. So yes, I just wanted to run through each line and a couple of specific questions. On the Branded Products side, I mean, it's a really nice year-over-year number. I mean, could you talk about how that breaks down between like new customer wins and share with existing customers in terms of growth with existing customers?
Michael Koempel: We really look at growth across the board. And the reason I say that, is if you get to these large, large companies in our space, we're talking like Fortune 100 companies, a lot of them, we have so much potential to sell more to them that you get to a new department or to a new buyer, and it's almost like bringing on a new client. And so a lot of times, when we're talking to our sales team, we're telling them the best new client is an existing client. We can grow so much with existing, and there's so much opportunity there. But the other side of that is we are actively involved in RFPs to bring on new logos. So we are preaching both. It's expand share of wallet with existing, right, might be selling them uniforms, but we also want to sell them promotional products. We also want to sell them point of purchase and point-of-sale displays. But we also are actively involved in RFPs and trying to bring on new logos. Our pipeline is really, really strong relative to recent periods. Exiting Q4, our RFP pipeline was meaningfully higher than the same period last year. And the good news is that the skew is like -- mix of the skew of it is towards larger enterprise programmatic clients. That's the clients we want, ones that are spending significant money, we're building programs for them. So we've already seen some of these RFPs in the pipeline convert in Q1, and we expect a couple more to convert, which will drive revenue growth through 2026.
Michael Benstock: Let me add to that.
David Marsh: That's great color.
Michael Benstock: Yes. I don't know if you've -- in the last few quarters, we've said that our average order size has actually come down. But we are -- we've actually been able to grow the business. So when you look at that, I mean, the only conclusion you can draw from that, if your average order size is coming down, but somehow you've grown the business, yes, some of that could come from pricing for sure. But most of that is just increased market share. And we should see when things get back to normal, all these customers who are ordering less, ordering less expensive items, ordering fewer items, they get back to normal, we should be cranking on all cylinders.
David Marsh: Appreciate that, Michael. That's -- that's great color. Turning to the Healthcare side. Can you just talk about the state of the business? I mean, it just feels like this business at some point needs to show some growth overall. I mean, can you just talk about your assessment of your own market share and kind of the behavior of your competition in the marketplace? And I mean, we have to be adding more nurses and more doctors, I would think. And you think you would see some growth here overall in the market. Just talk about what your expectations are there and the market dynamic?
Michael Koempel: Sure. I mean, we're still very positive about the market overall. As you said, there's a shortage of healthcare workers, which is certainly going to be a benefit to this business over time. And we feel there's an opportunity for us to get an additional portion of that market share. What we've seen more recently, as I mentioned, I think with an earlier question, we've seen a little bit of softness on the retail side of the business, with a couple of customers in the digital space in the fourth quarter. We see that actually starting to improve here as we start 2026. So feeling more encouraged by that. And then we have, I think, over the last couple of quarters, seen some pressure on the institutional healthcare side where spending by hospitals has been a little bit constrained just given some of the uncertainty and some of the government actions that have taken place. And so we're hopeful that that improves on that side of the business as we head into 2026. But we're focused on continuing to drive brand awareness for our Wink brand. As I mentioned before, we're very happy with our exclusive license with Carhartt and the growth of that business, and we believe we can continue to grow those brands. And again, as I mentioned before, we're starting to see some of the retail challenges that we experienced in Q4. We're starting to see some, I guess, you would call green shoots in terms of positive change in trend as we're heading here into 2026.
David Marsh: Got it. Appreciate that. And then just lastly on the Contact Centers business. In terms of -- just in terms of kind of overall business outlook for that segment, obviously, you guys took a hit with a customer bankruptcy, but it seems like -- I'm guessing that the rest of the portfolio has held up pretty well. But I mean, you just having a tough time backfilling that significant customer loss? And just could you just kind of assess kind of overall competitive dynamic of that marketplace?
Michael Koempel: Sure. We have had the challenge with not having the pace of new customer growth that we've historically had to offset some of the losses. There's always going to be a level of churn in the business, as you would expect in any business. And we had 2 challenges. We had a higher level of turnover due in part to the bankruptcies than we've seen before and just the decision-making of prospective customers had just been extremely slow. Two dynamics we had not seen before in that business happening at the same time. Again, as I mentioned in prior remarks, we're seeing that shift. We believe that the base of our customers is more stable. We don't foresee any major bankruptcies or things of that nature based on what we know today. And we've already had some conversions of what we call pipeline opportunities, which, again, we believe will lead to growth starting in the latter part of the second quarter into the second half. So like I said, we're cautiously optimistic. We're encouraged, whichever words, I guess, you prefer. But I think we're happy to see that we're seeing a shift here as we start the year, and we're going to stay focused on converting as many opportunities as we can in that market.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Michael Benstock for any closing remarks.
Michael Benstock: Thank you, operator, and thanks, everyone, for joining us today. As always, we appreciate your interest in Superior Group of Companies. You heard today that, we will continue buying back our stock as we believe it is grossly undervalued, and it's in our shareholders' best interest that we do so. I want to thank our hardworking team for their outstanding efforts in a really challenging macro environment. They just have done a wonderful job to continue making the most of what they were able to of 2025 and now into 2026. And of course, we thank our loyal customers for the business they give us and the trust they have in us each and every day. As a firm, we will always try to do what we can do in our attractive businesses to create significant shareholder value. We look forward to seeing many of you during upcoming conferences and road shows. And in the meantime, please don't hesitate to reach out with any additional questions. And thank you again for your interest in SGC and enjoy the evening.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.